Operator: Greetings and welcome to the FirstEnergy Corp. fourth quarter 2008 earnings conference call. (Operator instructions) It is now my pleasure to introduce your host, Ms. Irene Prezelj, Manager of Investor Relations for FirstEnergy Corp.
Irene Prezelj: Good afternoon. During this conference call, we will make various forward-looking statements within the meaning of the Safe Harbor provisions of the United States Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements with respect to revenues, earnings, performance, strategies, prospects, and other aspects of the business of FirstEnergy Corp. are based on current expectations that are subject to risks and uncertainties. A number of factors could cause actual results or outcomes to differ materially from those indicated by such forward-looking statements. Please read the Safe Harbor statement contained in the consolidated report to the financial community, which was released earlier today and is also available on our website under the Earnings Release link. Reconciliation to GAAP for the non-GAAP earnings measures we will be referring to today are also contained in that report as well as on the Investor Information section of our website at www.firstenergycorp.com/ir. Participating in today’s call are Anthony Alexander, President and Chief Executive Officer; Rich Marsh, Senior Vice President and Chief Financial Officer; Harvey Wagner, Vice President and Controller; Jim Pearson, Vice President and Treasurer; Bill Bird, Vice President of Corporate Risk, and Ron Seeholzer, Vice President of Investor Relations. I will now turn the call over to Anthony.
Anthony Alexander : Thanks Irene and good afternoon everyone. Earlier today we reported 2008 normalized non-GAAP earnings of $4.57 per share exceeding our revised earnings guidance of $4.30 to $4.40. This represents an 8% increase over our 2007 non-GAAP earnings. Earnings on a GAAP basis were $4.41 per share compared to GAAP earnings of $4.27 per share in 2007. We also generated $2.2 billion in net cash from operating activities during the year. These results were driven by favorable operational performance as we continued to improve the efficiency and reliability of our generating fleet and further enhance the quality of service to our distribution and transmission customers. Our generation portfolio posted a record output of 82.4 million MWH during 2008, our nuclear units produced 32.2 million MWH with a 93% capacity factor. Our generation record reflected in part our efforts to increase the output of our fleet through incremental low cost upgrades and enhancements. In the last year we added 66 MW in nuclear capacity enhancements and over the past three years we’ve added 450 MW of generation in this similar manner. In 2008 we also expanded our renewable portfolio with several new long-term contracts for more then 160 MW of wind power. We made several important strategic investments during 2008 including our acquisition of the partially completed 707 MW Freemont generating plant. Given our current economic conditions we’ve extended the construction schedule for this facility with completion now expected in 2012. This will reduce our 2009 capital expenditures by $142 million. We also acquired an ownership interest in Signal Peak, a coal mine in Montana during the year. Construction of the long haul mining equipment, wash plant, the development of the mine and the 35-mile rail extension are proceeding well and we expect to begin receiving coal deliveries later this year. We continued to improve customer reliability in our energy delivery business during 2008 with a 3% decrease in average outage duration bringing our three year improvement to 34%. We also achieved a 9% reduction in the frequency of transmission outages versus the prior year. These achievements were facilitated by the meaningful capital investments we’ve made in our regulated utility business and are particularly noteworthy given that 2008 was the worst year for storms in the last 10 years. And importantly we reported an annual OSHA safety rate of 0.97, a near top [decile] performance. Even so accidents in our business can and do result in fatalities and serious injuries and we won’t be satisfied with our performance until we achieve zero incidents. Like most companies we saw increasing evidence of the economic recession during the fourth quarter. These conditions are expected to impact FirstEnergy on several fronts this year including reduced customer loads, particularly in the industrial sector, and softer energy prices. We’ve already taken steps to help deal with this challenging environment including a reduction in our planned capital expenditures, lower O&M spending, and further strengthening of our liquidity position. We have been thoughtful in making these adjustments and they won’t take us off course. For example we have prioritized our capital and O&M spend and are focusing our 2009 reductions in areas that aren’t expected to adversely impact the reliability of our service or the ability to grow in the future. We will maintain our focus on the fundamentals, the pursuit of operational excellence, continued financial discipline, and a commitment to continuous improvement throughout the organization. We have built a solid foundation over the past several years and I believe that positions us well as we head into 2009. I know many of your are interested in the status of our discussions in Columbus and I’ll give you a quick update of those at this point. We remain hopeful for a positive regulatory outcome and currently have a settlement agreement before the PUCO that we believe strikes an appropriate balance between the needs of our investors and customers. In late January the PUCO directed its staff to develop a proposal for an alternative ESP and share it with the parties in the case. Earlier this month these parties met and the discussions resulted in the stipulation that was signed by our Ohio companies, the staff of the PUCO, and many of the intervening parties representing a diverse range of interests. The stipulation results in generation price stability through May, 2011, give the PUCO flexibility to phase in the generation prices that become effective June 1, 2009 and settles pricing and service arrangements for the distribution of electric service through December, 2011. We believe it’s a more favorable solution to customers then a market rate offer alternative. In broad terms the stipulation captures many of the elements of the original ESP with the benefit of a competitive bidding process to set retail generation rates. Let me give you a few highlights of the stipulation and they would include in April and May of 2009 generation will be supplied from FES to our Ohio companies at the average rate established in the December, 2008 RFP process which is $66.68 per MWH. The deferral of a portion of the purchase power cost for CEI will continue during April and May with recovery of the deferred balance plus carrying costs commencing June 1, 2011. For the period beginning June 1 this year through May 31, 2011 retail generation rates will be set from the results of a descending clock competitive bidding process. In this process the Ohio companies will procure on a slice of system basis 100% of their full requirement supply including transmission and ancillary services. This bidding process would be conducted by an independent bid manager and if the stipulation is approved by the Commission will likely be conducted in May. The PUCO also has the option to phase in the resulting generation pricing for retail customers subject to specified limits. The stipulation also promotes economic development and provides rate discounts for qualifying schools. As a part of this stipulation we will write off 50% of the extended RTC balance at CEI as of May 31 which we estimate to be approximately $215 million. The CEI RTC charges will be reduced accordingly commencing on June 1, 2009 and continuing through December 31, 2010. Total one time charges associated with implementing the ESP would be approximately $250 million or $0.53 per share of common stock. The companies have committed to a base distribution rate freeze through the end of 2011. There is a delivery service improvement rider which will be established with an effective date as of April 1, 2009 and run through December 31, 2011 and the stipulation provides for the recovery of deferrals previously approved by the Commission. All the signatory parties to the stipulation requested that the Commission approve certain provisions of the stip, kind of the near-term generation service provisions by March 4 and the full stipulation by March 25. Although we won’t be able to provide 2009 earnings guidance until we reach clarity in Ohio Rich will review selected earnings drivers later in the call. Overall I am pleased with the terms of the stipulation and hopeful that the Commission will react promptly and approve what the parties are recommending. Moving to market pricing at this point in the commodity cycle won’t be easy but we are prepared to operate effectively and successfully. I’ll now turn the call over to Rich to discuss our fourth quarter results and 2009 earnings drivers.
Rich Marsh : Thank you Anthony, as I review our fourth quarter results it might be helpful to refer to our consolidated report to the financial community that we issued this morning. Earnings on a GAAP basis in the fourth quarter were $1.09 per share compared to GAAP earnings of $0.88 per share in the same period last year. Excluding special items, normalized non-GAAP earnings were $1.21 per share compared to $0.90 per share in the fourth quarter of last year. Key drivers for this quarter’s favorable results include higher generation revenues, which increased earnings by $0.04 per share primarily as a result of the mix of sales, lower generation O&M expenses increased earnings by $0.12 per share driven primarily by fewer scheduled nuclear and [fossil] outages, the sale of unneeded emission allowances and lower rental costs following the acquisition of lessor equity interests under our Perry and Beaver Valley two sale leasebacks also contributed to this result. A lower effective income tax rate increased earnings by $0.09 and this principally reflected the ramp up of the manufacturing deduction percentage, continuing phase out of the Ohio State income tax, lower interest on reserve tax issues and utilization of net operating losses to reduce state income taxes. And for 2009 we expect the marginal tax rate to be about 38%. Reduced energy delivery expenses increased earnings $0.08 per share due to lower uncollectibles, general cost control measures, and additional resources being devoted to capital projects. Lower transmission costs incurred by FirstEnergy Solutions increased earnings by $0.07 per share primarily due to congestion expense settlements in the fourth quarter of 2008. The assignment of two existing power river base and coal contracts increased earnings by $0.04 per share. Our acquisition of Signal Peak made us [long western] coal in the 2010 to 2013 period and this assignment reduced that 2010 position. Finally reduced pension expense and other employee benefits increased earnings by $0.04 per share versus the prior year. Although our service territory experienced colder then normal weather in the fourth quarter compared to 2007 that positive impact wasn’t enough to offset lower distribution deliveries to the industrial sector which reduced earnings by $0.01 a share. Kilowatt hour deliveries to our distribution system were 4% lower then in the prior year. The largest impact was an industrial demand and in particular our Ohio steel and automotive customers. Commercial deliveries declined by 2% while residential deliveries increased slightly. Heating degree days were 13% above the same period last year and 5% above normal. Other factors partially offsetting this quarter’s positive results included increased net fuel and purchased power expense, which reduced earnings by $0.04 per share. Fuel expenses increased by $0.09 per share primarily due to higher coal transportation expenses and related fuel surcharges stemming from new contracts that took effect in 2008. This was partially offset by lower purchase power expense which increased earning by $0.05 per share. Purchase volumes were lower in 2008 then in the same period of 2007 due to fewer scheduled outages at our generating plants. General taxes primarily higher franchise and property taxes reduced earnings by $0.03 per share. And incremental property additions also increased depreciation expense by $0.03 per share. Higher Ohio transition cost to amortization reduced earnings by $0.02 per share and decreased investment income from [Cordone] Life Insurance partially offset by an increase in nuclear decommissioning trust income reduced earnings by $0.02 per share. And finally higher financing costs related to the issuance of first mortgage filings at Ohio [Edison] and Cleveland Electric Illuminating decreased earnings by $0.01 per share. Looking forward to 2009 the economic climate will make this a challenging year for our industry. As Anthony mentioned we’ve taken a number of actions to help us weather this storm and to position FirstEnergy favorably when conditions improve. We expect the customer loads will be adversely impacted in 2009 and we’ve seen that trend already with an overall decline in sales of nearly 3% in the second half of 2008 versus the prior year although that result isn’t normalized for weather. In response we’ve adjusted both our capital and O&M programs for 2009. Capital expenditures will be reduced to about $1.6 billion from more then $2.1 billion in 2008 primarily reflecting changes in certain generating plant outage schedules, the delay in completion of the Freemont plant, and adjustments in the timing of our environmental programs. Our total generation output for 2009 is expected to be nearly 81 million MWH. We are implementing O&M reductions of more then $100 million or 5% compared to the 2008 level. These include adjustments to our staffing levels and certain fossil plant outages schedules, changes in our compensation structure including the suspension of merit adjustments in 2009, and other cost saving measures across the company. From a financial perspective our objectives for 2009 include maintaining an appropriate degree of liquidity, enhancing our ability to be flexible in response to rapidly changing market conditions, maintaining a secure dividend with the potential for growth, and positioning the company to emerge strongly when the economy recovers. Our liquidity position remains strong. We have access to more then $4 billion of liquidity of which approximately $2.6 billion was available at the end of January. We have continued to successfully execute our program to reduce our reliance on the bank markets. We have issued $1.2 billion of debt at our operating company since October and held cash reserves of $1.1 billion at the end of January. Our net financing costs are expected to increase by about $27 million or $0.05 per share in 2009. This equates to an increase of less then 3% and is driven by the $1.2 billion of operating company debt we’ve completed as well as projected additional debt issuance of about $400 million in 2009. We also recently entered into a definitive agreement to sell 9% or nearly half of our 20.5% ownership interest in the Ohio Valley Electric Corporation or OVEC. OVEC is owned by a consortium of electric utilities which share the output of two generating facilities with a combined capacity of nearly 2,400 MW. FirstEnergy’s portion of OVEC is qualified as a PGM resource and we expect to close this transaction in April. As Anthony indicated we plan to issue 2009 earnings guidance when we achieve regulatory clarity in Ohio including completion of the power procurement process. So while I can’t yet provide specific guidance for 2009 I want to talk about a selection of earning drivers that we expect will help share our results during the year. Pre-tax items that are expected to increase earnings in 2009 versus 2008 include the Ohio distribution rate case approved by the PUCO last month which results in an increase of more then $75 million or $0.15 per share, the significant actions we’ve taken to reduce our operating costs that total more than $100 million and will improve 2009 earnings by at least $0.20 per share, [decreased] generation margin at FES as a result of termination of the below market power sales agreement, the Ohio companies supply obligation at the end of last year. The 2008 power sales agreement price was $46.40. And we believe that the satisfactory resolution of our Ohio regulatory matters including the results of the generation procurement process will be another positive earnings driver. Pre-tax drivers that are expected to decrease earnings in 2009 versus 2008 include qualified and not qualified pension and OPEB expense of $0.35 per share in 2009 versus income of $0.12 in 2008 or a net year over year impact of $0.47 per share. Although we took steps earlier in 2008 to reposition the pension portfolio including reducing our equity exposure from 61% to 47%, and increasing the duration of the fixed income portfolio the plan still suffered an investment loss of 24% during the year. That compares favorably to many of our peers but it still results in this change in pension expense for 2009. Due largely to the $1.3 billion of cash that we contributed to the plan over the 2005 to 2007 period the funded status at the end of 2008 remained at 89% on an ABO basis and 83% on a PBO basis. We won’t be required to make a cash contribution to the plan in 2009. Our fuel expense is projected to increase by $240 million in 2009 and during the year we will have three scheduled nuclear fueling outages versus only two in 2008 which will increase expense by about $30 million. We had a favorably priced contract with a third party supplier to serve 4.5 million MWH at our [inaudible] and Penn [Electric] utilities that expired at the end of 2008. FES is obligated to replace those MWH at a contract price of $41.50 which results in a loss to [a sales] opportunity and additional purchase power expense for the utilities. At our Ohio utilities RTC revenues were fully recovered at Ohio Edison and Toledo Edison at the end of 2008 and as anticipated on the prior rate plans will be reduced at CEI in the second quarter of 2009. The net impact of this and the associated RTC amortization expense will reduce 2009 pre-tax income by $375 million or about $0.76 per share. The end of the Ohio distribution reliability deferral and our RCP plan results in $125 million or $0.25 per share decrease in earnings and reflects a reduction due to over recovery of approximately $25 million of RTC at Ohio Edison and Toledo Edison. We also expect that depreciation expense will increase by about $45 million and that general taxes will go up by about $40 million and finally our overall sales volumes are expected to remain soft due to the economic climate. To wrap up let me say that we’re gratified by our performance in 2008, 2009 is a new year and its shaping up to be a demanding year for business generally. But we believe the actions we’ve taken will help guide FirstEnergy successfully through these times. Our liquidity position is stronger now then its ever been with cash investments of $1.1 billion and unused credit availability of $1.5 billion at the end of January for total liquidity of $2.6 billion. This reduces our reliance on the short-term bank markets. We are focused on maintaining the secure dividend with the potential for growth and we’ve reduced our capital and operational spending in 2009 by over $600 million from last year’s level to generate incremental earnings and cash flow. We’ve reached an agreement with the PUCO staff and many of the interveners in our electric security plan case that would provide predictable pricing for customers and strike a reasonable balance with the needs of our investors. And we submitted a plan in Pennsylvania under which rates for polar service for our [inaudible] and Penn Elec customers will be based on market prices starting in 2011. We remain committed to delivering consistent financial and operational results for our investors and customers in this turbulent environment and look forward along with everyone else to the return of better economic conditions in the future. We appreciate your time today and your continued interest in FirstEnergy and I’ll now like to open the call for questions.
Operator: (Operator Instructions) Your first question comes from the line of Greg Gordon – Citigroup
Greg Gordon – Citigroup: Looking at the 2009 earnings drivers list one of the things that’s not on there and I know that this is definitionally not all inclusive, when I look at the second quarter and third quarter of 2008 you talked about basically having been caught short in Pennsylvania and New Jersey in both quarters, and that the high power prices at the time were a $0.20 in the second quarter and an $0.11 drag in the third quarter. Power prices are obviously off a lot since then so I’m wondering why that isn’t a positive driver unless of course you’ve hedged that open position for 2009 when prices were higher.
Rich Marsh : I think your question refers to Pennsylvania not New Jersey, New Jersey is a [PGS] auction, straight pass through for our distribution companies. I’m not sure if I follow your question but I think you’re talking about the supply cost for our [Med Ed], Penn Elec subsidiaries in Pennsylvania.
Greg Gordon – Citigroup: That’s correct.
Rich Marsh : We didn’t attempt to include every driver in this list, we tried to highlight selected items so we didn’t intend to purport this as inclusive or representing earnings guidance so that is a factor. When we do give guidance it will be inclusive but we didn’t try to achieve that with the drivers we laid out here.
Greg Gordon – Citigroup: I understand, I’m just asking directionally if I look at your short position in Pennsylvania relative to your short position last year and where power prices are now, if you were in fact opening it to the same magnitude that would be a benefit and I’m wondering whether we should expect purchase power costs in fact to be lower in 2009 versus 2008 or are you substandibly hedged.
Ron Seeholzer : Yes, we’ve talked about this a little bit before, you’ll see the negative bullet on the [inaudible] Penn Elec underlying contract, to the extent you’re imputing a higher opportunity cost versus wholesale sales in Ohio, 8 versus 9. Certainly the power price is coming back in 2009 in Pennsylvania will reduce that opportunity cost. I think that’s what you are driving at.
Greg Gordon – Citigroup: The second thing is can you give us a specific assumption as to what you’re assuming vis-a-vie load contraction in Pennsylvania and Ohio for 2009.
Rich Marsh : Not at this point, I don’t think anybody has the visibility into 2009 that they would like to have given the economic conditions but I can say we’ve changed our internal forecast to reflect what we think is a good estimate, as good an estimate as we can of that. So a significant amount of revision downward, I would expect that when we give earnings guidance we would go through that in more detail but we’ll hold until that point in time to give specifics on it.
Operator: Your next question comes from the line of Paul Fremont – Jefferies & Company
Paul Fremont – Jefferies & Company: Couple of housekeeping questions first, can we assume that the assignment of the coal contract is non recurring in nature as well as the transmission expense congestion expense settlement and does the congestion expense settlement total the full $0.07 or is that only a part of the $0.07.
Rich Marsh : About the coal assignment we had a long position over several years, this helped close that long position for part of that time period. So there could be further selling off of the long position as time goes on.
Harvey Wagner : I think it was around $0.04 or $0.05 on the congestion settlement.
Paul Fremont – Jefferies & Company: On the nuclear decommissioning fund I guess I’m surprised that the earnings for the quarter are up given the performance of the stock market, is there like little or no equity component in the nuclear decommissioning trust.
Rich Marsh : We have been reducing that over the past year, there is some equity component but not a large equity component also as part of that restructuring there was some income that was generated as well so it’s a combination of those items.
Harvey Wagner : The $0.02 that I think you’re talking about is the normal income that is thrown off from the decommissioning trust. We had the $0.12 charge for the impairment which reflects the reduction in the market value and that’s a separate item.
Paul Fremont – Jefferies & Company: Regarding the account for OVEC, is OVEC accounted for as part of your generation, is it purchased power and does it factor into the MWH reduction that you’re forecasting for 2009.
Rich Marsh : Its reflected as purchased power but it does not factor into the generation MWH numbers that you referenced.
Paul Fremont – Jefferies & Company: In terms of resources though so that would be incremental to the generation that you’re losing from your power plants.
Rich Marsh : That is correct.
Paul Fremont – Jefferies & Company: I would assume you’re going to be projecting some sort of gain on the sale of your OVEC interest.
Rich Marsh : Yes, I would expect we would.
Operator: Your next question comes from the line of Hugh Wynne – Stanford Bernstein
Hugh Wynne – Stanford Bernstein: One of the things that you all did very well in this quarter was to reduce O&M expenses basically across your operations, the generations, the delivery, the transmissions, and then you say that you’re going to try and push through $100 million of additional O&M reductions in 2009, should we read that as implying a $100 million reduction in the level of O&M expense from 2008 or $100 million reduction off of a trajectory of increase that you’ve not disclosed here.
Rich Marsh : You should read that as $100 million decrease of the levels of 2008.
Hugh Wynne – Stanford Bernstein: The 5% decline in generation sales of 4% decline in distribution deliveries in the fourth quarter despite an increase in heating degree days the implications for 2009 are we at a level of sales now that you think is sustainable for next year or do you see further declines from this point.
Rich Marsh : I think the answer is a little bit different across the three states that we serve and also within the categories of our industrial customers and clearly in northeast Ohio we continue to have exposure to the auto and steel industries in particular. We would expect those to be weak this year unfortunately so I think we will likely see some continued erosion and have reflected some of that in our plans for 2009. The other side of that from a margin perspective those are our lowest margin customers so the margin and the volume impacts are not proportional but it is something that certainly we’ve witnessed and continue to track closely.
Operator: Your next question comes from the line of John Kiani – Deutsche Bank
John Kiani – Deutsche Bank: Can you give us an update on the [Nopeck] customers I know there was another energy market that appeared to be soliciting it was like half a million customers or something, can you talk to us about where you think those customers stand especially in light of the recent settlement.
Anthony Alexander : Actually I don’t have any additional information on it. [Nopeck] has not signed the settlement proposal. They are one of the parties that chose not to sign on at least at this point and quite frankly their status with the suppliers that they’ve indicated that they’ve talked to, at this point I just don’t have any information on it.
John Kiani – Deutsche Bank: So from the perspective of obviously the drivers that you all provided that at least at this point it seems like assumes that you retain those [Nopeck] customers as far as we know.
Rich Marsh : Yes, I think that’s—
Anthony Alexander : I just don’t think we identified [who’s] drivers.
Operator: Your next question comes from the line of Jeff Coviello – Duquesne Capital
Jeff Coviello – Duquesne Capital: I had a question on the auction on the way we should think about the load on your serving with the SCS auction, what’s the approximate right amount of MWH you are going to serve in Ohio among the auction I guess assuming you did 75% in the first quarter, assuming you do 100% let’s just say, how many MWH would that be approximately.
Anthony Alexander : It would be 55.
Jeff Coviello – Duquesne Capital: And then if you do less then 100% what would you do with the additional MWH you generate, should we think about those going into the wholesale market or Pennsylvania.
Rich Marsh : A couple of options, one would be to serve customers at retail as opposed to the auction itself, or into the wholesale market so there’s really three places the generation could end up.
Jeff Coviello – Duquesne Capital: Currently when roughly do you think the auction will be if things move according to plan from here on out.
Rich Marsh : It looks like it will be in May at this point.
Operator: Your next question comes from the line of Paul Patterson – Glenrock Associates
Paul Patterson – Glenrock Associates: The shopping, the level of shopping decrease in Ohio among all the customer groups in the fourth quarter what was driving that, its on the statistical summary page, electric sales shopped, it looked like across the board it was 25% kind of drop.
Harvey Wagner : I think those were as a result of contracts or other arrangements expiring at the end of the year and they were just being transferred out at probably last billing dates.
Paul Patterson – Glenrock Associates: So I guess all that is is just a contractual change, in other words—
Harvey Wagner : Its moving off of the one plan and into the next and the arrangements at FES for retail transactions did not extend into the 2009 period.
Paul Patterson – Glenrock Associates: The Pennsylvania power auction does that have any impact on EPS, I know that you didn’t itemize every little thing in the drivers but is that a driver at all or is it just so insignificant from a size perspective, I know that the residential about half of it was done early 2008 from a pricing perspective and commercial was a bit different but any impact from that at all.
Rich Marsh : No its very similar to New Jersey and its pretty much a pass through.
Paul Patterson – Glenrock Associates: When you look at that Pennsylvania power auction how do you think about that in comparison to what you’re looking at in Ohio, is it just such a different market and such a different situation that that just really bears no resemblance and its kind of an outlier or is there any way to look at that as a signal as to what could happen in Ohio.
Rich Marsh : I don’t know, it’s a much smaller load for one thing. It’s a different time period, different tranche, I don’t know.
Anthony Alexander : This is just one data point, very small or limited transaction.
Paul Patterson – Glenrock Associates: Is there any expected change in tax rate for 2009.
Anthony Alexander : Our marginal rate will be in the 38% range, but the effective rate, we’ll be able to give you more information on that when we provide guidance for 2009.
Operator: Your next question comes from the line of Steve Fleishman – Catapult Capital
Steve Fleishman – Catapult Capital : Just wanted to clarify in your 2009 factors you obviously are not, didn’t go into what generation price you’re assuming but you’re also not including the distribution rider that’s part of the current settlement.
Rich Marsh : That’s correct.
Steve Fleishman – Catapult Capital : And did you also not include the resolution of the RTC on Cleveland too.
Rich Marsh : Yes, we did not include that also.
Steve Fleishman – Catapult Capital : So none of the provisions of that agreement are included in here.
Rich Marsh : That’s correct.
Steve Fleishman – Catapult Capital : Do you have a sense on when the commission at this point is likely to vote on the settlement.
Anthony Alexander : Well if they hold to the recommendation of the parties we would expect an order out before March 4 or on or about March 4 covering the period basically April and May. Pricing in that period is fixed. Then some other ancillary parts of the stipulation but then the main stipulation would be approved prior to or on or about March 25. Its kind of two parts because we have to get April and May solved as part of this overall transition.
Operator: Your next question comes from the line of Carrie St.Louis – Fidelity Investments
Carrie St.Louis – Fidelity Investments : I was curious have you had any discussions with the agencies since your Ohio settlement has been announced.
Rich Marsh : We’re always in some degree of contact with the agencies just making sure that they understand what’s going on and so forth.
Carrie St.Louis – Fidelity Investments : With specific S&P, have they commented since they’ve been kind of watching the discussions very closely, any views on how they view this settlement versus the ESP.
Rich Marsh : I can’t speak for S&P but I know they have a good understanding of how the proposed stipulation works.
Carrie St.Louis – Fidelity Investments : I just wanted to ask about the short-term debt balance, it seemed high, I know that you’re holding a lot of cash securities, is that why that number looks so high.
Rich Marsh : Yes, that’s right.
Carrie St.Louis – Fidelity Investments : I just wanted to talk about, I know its early but what are your thoughts about the hold to maturity in 2011 how you’re going to approach refinancing that.
Rich Marsh : We continue to look at that. We don’t have a specific plan that we’ve discussed yet but its something that Jim and Randy and their team continue to look at so as we move through this year we’ll have more clarity around what our plan is to deal with that.
Carrie St.Louis – Fidelity Investments : Is it a thought that it would mainly be refinanced there or partly at Solutions.
Rich Marsh : Not sure yet.
Operator: Your next question comes from the line of Unspecified Analyst
Unspecified Analyst : I was wondering when do you anticipate the voluntary prepayment plan to be finalized by the Commission in Pennsylvania.
Rich Marsh : I don’t know when. We had asked for October I am told.
Operator: Your next question comes from the line of Dan Jenkins – State of Wisconsin Investment Board
Dan Jenkins – State of Wisconsin Investment Board : I was curious I think you said you had $1.1 billion of cash at the end of January is that correct.
Rich Marsh : That is correct.
Dan Jenkins – State of Wisconsin Investment Board : And that’s up from what, about $500 or $600 million at the end of the year.
Rich Marsh : Yes, that’s about right.
Dan Jenkins – State of Wisconsin Investment Board : Is the short-term debt is that also up or what’s the status of that given the cash is up—
Rich Marsh : Its because well the additional cash is because we had several operating, two operating company issuances and we’re continuing to hold the cash from those.
Dan Jenkins – State of Wisconsin Investment Board : So at some point will you then pay down the short-term debt or what’s the, are you saving that for other purposes or what’s the disposition of that cash.
Rich Marsh : We’ll make that decision as we go through time. Right now we’re comfortable holding the cash but we’ll continue to what we’re earning on that versus what it costs us to, on the revolver and so forth and kind of make that trade off.
Dan Jenkins – State of Wisconsin Investment Board : Related to the O&M both the generation and the distribution or delivery, on the delivery you mentioned the lower uncollectible expenses and then more resources devoted to capital projects, given that you’re bringing down your CapEx budget for next year and then given the economic environment what do you expect from those two benefits for this quarter going forward.
Rich Marsh : For this quarter we haven’t talked about it on a quarterly basis other then what we talked about on the call and in the earnings guidance drivers, we haven’t really gotten more specific then that.
Dan Jenkins – State of Wisconsin Investment Board : By itself for 2009 do you expect uncollectible rate to continue at the rate you’ve seen recently or do you expect that to go up or have you got any sense what’s going to happen with that.
Rich Marsh : Customer uncollectibles?
Dan Jenkins – State of Wisconsin Investment Board : Yes.
Rich Marsh : That whole issue was a focus of what we called our energy delivery excellence plan, we really focused on the whole revenue realization cycle and this was a project that largely took place in 2008 so we spent a lot of time looking at our collection policies and so forth and really fundamentally changed how we identify customer risks and how we collect deposits from customers and so forth and actually we’ve had some very good luck in terms of keeping our uncollectibles arrearages at a very low level. That was true for much of 2008. Probably a little bit of a tick up so far in 2009 but still within what I would say is a very, very small band. So we have been very pleased with our efforts so far.
Dan Jenkins – State of Wisconsin Investment Board : And so then the capitalized say operating cost for say payroll and so forth, do you expect that to be a similar rate given your lower CapEx budget then or would you expect maybe more of that to be expensed in 2009.
Rich Marsh : I think it would be about the same.
Dan Jenkins – State of Wisconsin Investment Board : On the revenue side, you’ve seen a pretty rapid deterioration in industrial in the fourth quarter given the economy have you actually seen any customers announce permanent shutdowns of large plants in your service territory that probably won’t come back.
Rich Marsh : I don’t know of any permanent shutdowns, certainly many of the impacted facilities are steel or auto related but I’m not aware of any permanent shutdown announcements.
Dan Jenkins – State of Wisconsin Investment Board : So you haven’t had any of the big auto plants or anything that have been announced in your particular service territories.
Rich Marsh : Not that I’m aware of.
Anthony Alexander : I want to make one correction to an earlier question, I would refer you back to our recent developments in terms of the consolidated report, the October date we were asking for is for the procurement plan at Med Ed and Penn Elec. We actually have a settlement already in place and was recommended by the ALJ for adoption to the commission without modification. Its already pending for the prepayment plan.
Operator: Your next question is a follow-up from the line of Greg Gordon – Citigroup
Greg Gordon – Citigroup: The $2.00 per MWH rider, that would go into effect if approved by the Commission April 1 correct.
Rich Marsh : Yes, that’s correct.
Greg Gordon – Citigroup: If you were to also be approved to make your modifications of the Cleveland RTC balance, when would that adjustment take place.
Anthony Alexander : June 1.
Rich Marsh : Well thanks everybody. We appreciate your time today and your interest in FirstEnergy. If there are any follow-up questions, please feel free to contact Ron Seeholzer or any of the members of our Investor Relations team. Thanks again for your time, everybody have a great day.